Operator: Welcome to the Colliers International Third Quarter Investors Conference Call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form as filed with the Canadian Securities Administrators and in the company's annual report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Tuesday, November 5, 2024, and at this time, for opening remarks and introductions, I would like to turn the call over to Global Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator. Good morning, and thanks for joining us. As the operator mentioned, I'm Jay Hennick, Chairman and Chief Executive Officer; -- with me today is Chris McLaren, CEO of our Real Estate Services segment; and Christian Mayer, Chief Financial Officer. As always, this call is being webcast and is available in the Investor Relations section of our website, along with the presentation slide deck. This quarter, Colliers realigned its operating segments to better reflect the future potential and value of our complementary growth engines, and we delivered solid growth across each one of them. Engineering grew by 21% driven by acquisitions. In Real Estate Services, revenues and capital markets rose a strong 17%, exceeding our expectations while leasing continued to grow nicely, building on last quarter's strong momentum. And in investment management, recurring management fee revenue showed a modest increase though fundraising fell below expectations, reflecting a trend seen across the industry. We anticipate stronger fundraising in 2025. Assets under management grew by $2.4 billion during the quarter, rising from $96 billion to nearly $99 billion, which is very positive. We also completed the acquisition of Englobe, creating a substantial new growth platform in Canada. After the quarter, we added GWAL in Canada and Pritchard, Francis and TTM in Australia, continuing our growth trajectory in this segment of our business. Overall, we continue to have a robust M&A pipeline that positions us well to continue to grow and strengthen our operations for the long term. Over the past decade, Colliers has transformed one step at a time into a uniquely differentiated global professional services and investment management firm. Through the Colliers way, we have continued to strengthen our commercial real estate operations around the world while adding new growth engines and service lines to provide more recurring revenue streams and diversification to our successful business model. Today, recurring revenues contribute more than 70% of our earnings, providing exceptional balance and predictability driving greater shareholder value now and into the future. With experienced leadership, significant inside ownership and a proven 30-year record of delivering 20% annualized returns for shareholders, we expect to sustain mid- to high single-digit growth going forward. And as we enter 2025, we expect further upside to come from improving capital markets enhanced investment strategies and capital raising in our investment management business and continued incremental growth through acquisitions across all segments of our business as we have been doing for so often in the past. Now let me ask Chris McLaren to discuss some highlights. And after Chris is completed, we will hear from Christian on his financial report. Chris?
Chris McLaren: Thank you, Jay, and good morning, everyone. Colliers Real Estate Services delivered another quarter of strong results. Capital Markets revenues rose 17%, exceeding expectations and marking a second consecutive period of growth. We saw growth across the core asset classes of office, up 77%, retail up 53% and industrial up 19%. Colliers transaction volumes were up meaningfully in the Americas and APAC regions, supported by the recent softening of interest rates, improved lending conditions and the narrowing of price expectations between buyers and sellers. Debt origination continued to show solid improvement in the quarter with both agency and non-agency business performing well. Leasing continued to build on last year's -- last quarter's momentum achieving a 6% growth in the third quarter led by EMEA and the U.S. regions. In particular, office leasing was up 22% on the back of several large transactions during the quarter with strong performances in the U.K., Germany, Poland and the U.S. markets. Most major markets are rebounding with rental rates stabilizing. Demand for Class A office space remains high as occupiers continue to focus on improving the employee experience and modernizing workspaces. Our recurring outsourcing services again delivered steady growth, up 5%. We are seeing increasing momentum in our valuation and advisory business, driven by the multifamily sector, and the increased activity in capital markets. Our investments in our people and business, which help us fill gaps and capture market share, we will continue to enhance our platform and deliver long-term value for our shareholders. We continue to aggressively recruit and add talent in strategic markets to position ourselves to benefit from the improving transactional markets in leasing and capital markets. This past quarter, time included Colliers on its list of world's best companies. In addition, we were named to Forbes World's Best Employers ranking for the second year in a row and are proudly the only global full-service commercial real estate firm on the list. These accolades speak volumes about our growth and ability to deliver a world-class experience for our clients and our professionals. Now I'll turn things over to Christian who will provide more details on our financials.
Christian Mayer: Thank you, Chris, and good morning. Please note that all references to revenue growth made on this call are expressed in local currency and that the non-GAAP measures discussed here today are as defined in the materials accompanying this call. As noted by Jay, in the third quarter, we realigned our operating segments to better reflect our operations and the value and growth potential of each. A summary of historical results is available to be downloaded on our Investor Relations site. Third quarter revenues were $1.2 billion, up 11% relative to the prior year period. Each of our segments and service lines reported solid revenue growth for the quarter. Internal growth was 5% overall and was led by capital markets, which was up meaningfully against a low base in the prior year, particularly in the Americas and Asia Pacific. The Engineering segment's internal growth was flat for the quarter due to the completion of several large project management contracts in the prior year period, which resulted in a challenging comparative. Adjusted EBITDA for the third quarter was $155 million, up 6% over the prior year. Our margin for the quarter declined slightly to 13.1% and due to higher captive insurance reserves in our Corporate segment and the margin dilutive effect of pass-through performance fees in our Investment Management segment. Our real estate services margin remained flat for the quarter with operating leverage from higher revenues, offset by continued aggressive recruiting and strategic markets. Turning to Investment Management. We raised a total of $1.1 billion of new capital commitments during the quarter, bringing year-to-date fundraising to $2.6 billion. We now expect to raise about $3.5 billion for the full year which is an increase of 15% over 2023, but below our expectations for 2024. We are in the process of deploying capital raised and have started to fund raise for new vintages launching early next year. Our highly differentiated direct private capital investing strategy with a focus on alternatives and infrastructure continues to resonate with investors and we expect fundraising velocity to increase in 2025. Assets under management increased $2.4 million during the quarter to $98.8 billion. Growth was driven by fundraising, positive mark-to-market adjustments in almost all asset classes and foreign exchange gains in our European portfolio. Moving to our balance sheet. Our financial leverage ratio, defined as net debt to pro forma adjusted EBITDA and was 2.5x as of September 30 with about 0.5 turns attributable to capital deployment on the recently completed Anglo acquisition. We expect leverage to decline to just over 2x by year-end as we generate seasonally strong fourth quarter cash flows. We have revised our outlook based on our year-to-date operating results and our updated fundraising expectations for the fourth quarter, as I noted a moment ago. With less than 2 months remaining in the year, our investment results. Our investment management results are essentially locked within a tight range. Our real estate services performance, particularly in capital markets, is subject to greater variability as we approach year-end and could lead to the higher end of the outlook range. Our expectation for adjusted earnings per share growth is being impacted by the mix of earnings and higher-than-planned depreciation expense due mainly to technology investments. Let me take a moment to put this year's financial performance into context. In Real Estate Services, we are encouraged by the beginning of the rebound in capital markets albeit from a low base last year. Leasing continues to show solid momentum, and we've been taking advantage of market conditions to recruit aggressively. Our engineering business is poised for internal growth based on our current backlog of work as well as incremental earnings from acquisitions completed this year. Investment Management has demonstrated consistent resilient earnings despite challenging fundraising during the past 2 years, but we expect conditions to improve in 2025. In summary, our 3 businesses are well positioned for the years ahead. That concludes my prepared remarks. We'll now open the call for questions. Operator, can you please open the line?
Operator: [Operator Instructions] your first question comes from Stephen Sheldon at William Blair.
Stephen Sheldon: First, can you just walk through the moving pieces for the profit guide reduction how much of that is due to lower fundraising and expected profit in IM? And it also sounds like you're reinvesting in RES to support the growth outlook there. So maybe how much more are you reinvesting there maybe relative to what you included in the guidance last quarter? Just more detail on the moving pieces on the profit guidance?
Christian Mayer: Yes, Stephen. So I think as we noted in our comments and in the press release, the adjustment to the earnings outlook is entirely due to investment management fundraising and give you a bit more color on investment management, the capital commitments that are generated in a given year become accretive to revenues in a modest way into EBITDA and very significantly because of the high incremental margins on this in the range of 40% to 50% incremental EBITDA margin. So that is very impactful to our earnings and with our fundraising outlook and now we've got 3 quarters completed at our for Q4. We have adjusted that accordingly, and that's really what's driving the change in the outlook.
Stephen Sheldon: Okay. Got it. And then maybe for Chris, on the leasing side, a little bit of deceleration there this quarter, although the growth rate is still very good. I think some of your peers have reported continued acceleration there. So anything to call out there? And just generally, how are you thinking about the outlook for leasing growth in the fourth quarter and heading into next year? And would also love some commentary on what we're seeing. You gave some good commentary on Office. What are you seeing on the industrial side?
Chris McLaren: Yes. So we had a pretty good quarter for leasing on the back momentum of the previous quarter. we're seeing some larger deals starting to come to market. There's been some hesitation over the last few years, but now there's some confidence in the economy. So some of these bigger decisions are being made, and we're seeing that in some transactions at Colliers. Certainly, the trend is the return to office continues and that through mandates or just through people wanting to get back and be in a cultural situation and share time with employees. So that's all positive. And then we're seeing that definite trend of going to the prime space. There has to be more of an experience space, and there needs to be amenities and it needs to be century located. So we're definitely seeing across the globe in all regions and an uptick in office leasing and based on the confidence of their business models in the general economy. In terms of industrial leasing, we had an 8% increase in the U.S. in the third quarter. It's our largest market for industrial leasing. So that's a good sign, but generally around the world, there is a hesitation from tenants to sign leases. There's been more vacancy on the market, so it takes more time to look at the alternatives and then there's also the hangover from the real buildup and taking space from the Cove e-commerce period. But the fundamentals long term are very strong for industrial with e-commerce continuing on-shoring, near-shoring so we're feeling that there'll be more than equilibrium in the industrial leasing by mid-2025.
Operator: [Operator Instructions] Your next question comes from Jimmy Shan at RBC Capital Markets.
Khing Shan: Just on the fundraising within investment management. Some of your peers are talking about better asset monetization environment, which potentially lead to better fundraising, which it sounds like that's what you guys are saying. So just wondering to what extent are you seeing the same with the funds that are close to end of life? And then what does your 2025 fundraising pipeline look like?
Christian Mayer: Yes. Jimmy, we have been deploying capital this year, but we've also been -- and we noted it last quarter, we've also been harvesting gains in our portfolios. So we do have certain older vintage funds that are nearing the end of their lives, and those are funds where you take the opportunities to selectively sell assets and realize those gains and return that capital to investors. That's the capital cycle and it certainly facilitates future fundraising for us. And we did have some more of that activity in the third quarter. We expect that activity to continue, deploy new capital and then also harvest gains and realized gains on existing investments and recycle that capital to investors and that will lead to additional fundraising going forward because that is a very positive signal, obviously for our LPs. In terms of our 2025 fundraising outlook, we'll talk about that in February when we deal with our year-end results and our 2025 outlook.
Khing Shan: Okay. In terms of the Real Estate Services margin pointed out flat margins. It sounds like it's aggressive recruiting. So how do we think about the operating leverage going forward now with -- if we see continued recovery, do we expect that -- how do we think about that margin?
Christian Mayer: So our real estate services business, just to pull back a bit here, we've got leasing, capital markets and outsourcing, 3 different service lines. Our Leasing and Capital Markets business as we generate additional revenues there, we do expect incremental margins in the order of about 20% on an incremental revenue dollar but that is when you look at the [indiscernible] Services segment, that's muted somewhat by the incremental margins coming from valuation or from property management, which are more modest in nature.
Khing Shan: Okay. So like if we see a decent amount of recovery within leasing and capital markets, unlike this quarter, we should probably see improvement in margin. Is that fair?
Christian Mayer: Yes, I would expect that absolutely in the fourth quarter. And as you know, Q4 is our seasonal peak quarter. So the margin is always higher in that period. And the margin should be higher, absolutely.
Khing Shan: Okay. And then last question. Just again, some of your peers have called out sort of big growth in the mortgage origination business in sort of I know you guys have bought up in terms of producers, and it sounds like you were underutilized. How big of a business do you see that being? And again, how do you see that recovering within the capital markets
Jay Hennick: Let me try that one. We investment -- we made some heavy investments probably 18 months ago. in retrospect, probably a little bit too early. But we have 160, 170 producers in the debt capital division of our company, which was -- which is significantly more than we've ever had before. And we're seeing a return, albeit slower than we'd like. But when things come back to normal and as capital markets pick up, in particular, we should see a lot of incremental activity through that business. already this year, their numbers internally are up significantly over last year. And it really does move with capital markets. So if there's more capital markets transactions, both sides, there'll be a lot more debt which means that we'll generate more revenues and profits from that aspect of our business. I hope that helps.
Operator: The next question comes from Himanshu Gupta at Scotiabank.
Himanshu Gupta: So just on the Engineering division. I mean, good to see this being reported as a separate segment with you scale here as well. So how should we think about the organic growth in the engineering in this business?
Christian Mayer: So Himanshu, the organic growth in our engineering practice on an ongoing basis should be in the high single digit, 5% to 7%, 8% range as we roll out across 2025 and on an ongoing basis thereafter. In the third quarter, I'll just point out again, I mentioned it in my call comments, we had a very tough comparative and very strong results in the third quarter of 2023, which were the result of a couple of large projects that were completed in that period and resulting in a lower organic growth rate for Q3 of 2024.
Himanshu Gupta: Got it. So 5 to 7 kind of organic growth and on the margin side, I mean, obviously, I think there was some volatility in the last few quarters. But going forward, I mean would you say like low double-digit kind of margin there on this business?
Christian Mayer: I think that's right, Himanshu. Yes.
Himanshu Gupta: Okay. Okay. And then just to follow up on the Investment Management division, I mean, I am, you mentioned fundraising was lower than expectations in Q4. Was it the pipeline getting pushed out to next year? Or do you think that potential capital or investors have moved on?
Jay Hennick: We expect a significantly more fundraising in 2025 for a whole variety of reasons. One, we think the market is coming back, as we've discussed but secondly, we have a lot of new product in the marketplace. Our existing funds basically ended in many cases, ended or will end in '24. So we've got new funds coming to market in '25. Christian mentioned that there's been some repatriation of capital so we expect a pretty solid fundraising market in 25 based on the way we're anticipating it now. But as Christian says, we'll give you a better report and outlook on that in our February results.
Himanshu Gupta: Fair enough. And just from a timing perspective, do you think that acceleration in fundraising, it will be more towards the second half of next year? Or is it like the first half of the year? I mean, is there a seasonality in terms of like fundraising, which typically is in like closer to the year-end.
Jay Hennick: Well, again, we'll give you a better outlook in February. But generally speaking, when funds are initiated, it takes a quarter or 2 for them to -- for investors to re-up. Remember, as you pay back these investors in every fund 85% on average return into the following funds. So not only is this a recurring revenue business, but fund-to-fund as long as you continue to provide good results for investors, investors tend to re-up into the following into the subsequent vintages. So generally, a vintage might go 3 years until the money is invested. And so these are several are closing out this year. So we expect significant new activity next year. We expect -- we hope we'll see some significant new activity next year. But I think it will take a quarter or 2 before you see that velocity, if that's the question you're asking, I think it will take a quarter or 2 before we start seeing that money start coming in.
Himanshu Gupta: Got it. That was very helpful. And my last question is on Christian, I think you mentioned incremental margin of 20% on leasing and capital markets. So my question is that did you achieve that incremental margin in Q3 as well? I mean -- and was it like completely offset by that recruitment, that aggressive recruitment you're talking about?
Christian Mayer: Yes. I mean I think you've answered the question, Himanshu. The investment in recruiting largely offset the incremental margin on those revenues in the quarter.
Himanshu Gupta: Okay. And then where are we process? I mean, do you think like you are at the [indiscernible] end of this improvement cycle? Or is it going to keep on going for the next year as we see fit on in transaction models?
Christian Mayer: Yes. I would say that recruiting is part of everyday work at Colliers. We're constantly filling gaps and driving increased market share. To give you some color in terms of this aggressive recruiting comment, our biggest opportunity is in the U.S., and we're ahead of our targets from last year, and we're focused on the core asset classes, office, industrial and retail. We're making some efforts for landing some multi-market brokers, brokers that transact across geographies and then both in leasing and capital markets. We're looking at specialty sectors like the hotel sector and building a global business where we've recruited experts in the U.S., Japan, U.K., Spain and Germany. And then we're taking advantage of high-growth markets like Japan and India. Bolstering our teams there. And then there's specialty cases where there's some team lifts. So I can give you an example in Hong Kong, where we added a first-class valuation and capital markets team. So gives you a flavor of the recruiting, and we think it's a real great time to be adding talent to Colliers.
Operator: The next question comes from Daryl Young at Stifel.
Daryl Young: Just dovetailing on that last question about recruiting professionals. Has your mix and exposure to secondary versus gateway markets changed significantly in the last few years and as part of the recruitment drive to bulk up in some of the gateway markets. I guess I just -- I get a lot of questions around whether as some of those markets improve and office side improves, will Colliers participate equally if it's mostly gateway focused in the recovery.
Chris McLaren: Yes. I would say that we're focused in a parallel approach to get into those gateway cities in a deeper way. Those are the larger transactions. There's more volume of deals. So there's certainly the aspiration is there. in our country and market leaders are focused on bringing in talent to beef up those gateway cities in addition to the secondary cities.
Daryl Young: Got it. And then flipping over to the Investment Management platform. Could you just update us on where you're at in terms of integration of some of the sales and marketing side of the business for fundraising and is that going to be a more concerted effort going forward to have sort of cross selling of LPs?
Jay Hennick: Well, that's a very good question. The topical actually. Yes. I think the -- and again, I'm going to give you probably too long an answer. But our philosophy has always been to differentiate because we are partners with the operating management teams in each of our strategies, and that has given us a huge competitive advantage, we think, over many others. But with this soft fundraising environment over the past 2 years, each one of our platforms have expressed a stronger desire to integrate to share opportunities than ever before. They operated independently they all felt like they had great visibility around fundraising. And because of the softness, everybody is open-minded to making some changes. So we are actively looking right now at reorganizing our distribution capabilities across the company -- more on that as we develop our thinking over the next couple of quarters, but there's some exciting moves we think we can make to augment our management team, strengthen our distribution capabilities, leverage the -- both institutional and high net worth capital origination formats across the entire platform. It will take some time. It will take some -- a few bold moves but we have the capability internally, and we think that we can accelerate. So yes, we're quite excited about what that could be. but more on that as we develop our thinking.
Daryl Young: That's great. That's good color. Maybe one last one in the opening remarks, you said commercial real estate transaction activity could pick up in the back half of the year, such that you deliver at the high end of your guide. Is that a function of having some really big transactions in the pipeline that are maybe going to fall over the line at year end or could push into '25? Or just a little bit more color on what gives you the optimism for that statement.
Chris McLaren: Yes. So I think we're seeing our pipelines build throughout the year, and Q4 and capital markets is a seasonally strong quarter for us. And we're expecting 25% roughly increase quarter-over-quarter delivery. So some deals will slip over, but it seems like there is good strong belief that will come through in that 25%.
Operator: [Operator Instructions] The next question comes from Frederic Bastien at Raymond James.
Frederic Bastien: There was good color on pretty much every business line, but I'm wondering on a geographical basis, how Europe and the U.K. are performing more broadly speaking?
Christian Mayer: Think EMEA had a good quarter. The U.K. has been a solid business for us and immune from a few of the capital markets issues that were most significant in the Nordics and Germany over the last couple of years. So we're pleased with our U.K. operations. And I would say that on the company's -- the firms on the continent, our German business, our Nordics business is starting to feel much more confident about the future trajectory, in particular in capital markets and leasing.
Frederic Bastien: Next, my next question is around the [indiscernible] acquisition. I know it's early days, but are you seeing potential for revenue synergies with your project management business in Canada and how that is shaping up with respect to opportunities, but also integrating the business within your own platform?
Jay Hennick: We're seeing more opportunity, frankly, than we expected. Going into the globe transaction and [indiscernible] we're very pleased with it, early stages, of course, but very pleased with it. But our Colliers project leaders business in Canada is a market leader and covers the country from coast to coast. And so there's a lot of opportunity that we believe Colliers project leaders and Globe can pursue together, and they're looking at that. And so we think that together, there's more synergy than we expected.
Operator: There are no further questions. I will turn the call back over to Jay Hennick for closing comments.
Jay Hennick: Thanks, everyone, for joining us for the -- for our third quarter conference call. We look forward to our February results. And of course, providing some comfort and forward-looking outlooks going forward from there. So thanks for participating.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for your participation, and have a nice day.